Operator: Welcome to the Corporate Office Properties Trust fourth quarter and year end 2008 earnings conference call. As a reminder, today’s call is being recorded. At this time I will turn the call over to Mary Ellen Fowler, the company’s Vice President and Treasurer. Miss Fowler, please go ahead.
Mary Ellen Fowler: Thank you and good morning everyone. Today we will be discussing our fourth quarter and 2008 annual results. With me today are Rand Griffin, our President and CEO; Roger Waesche, our COO; and Steve Riffee our CFO. As they review our financial results the, the management team will be referring to our quarterly supplemental information package. You can access our supplemental package as well as our press release on the Investor Relations section of our website at www.copt.com. Within the supplemental package you will find a reconciliation of GAAP measures to non-GAAP financial measures referenced throughout this call. Also under the Investor Relations section of our website you’ll find a reconciliation of our 2009 annual guidance. At the conclusion of this discussion, the call will be opened up for your questions. First, I must remind all of you at outset that certain statements made during this call regarding anticipated operating results and future events are forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although such statements and projections are based upon what we believe to be reasonable assumptions, actual results may differ from those projected. Those factors that could cause actual results to differ materially include without limitation the ability to renew or release space under favorable terms, regulatory changes, changes in the economy, the successful and timely completion of acquisitions and development projects, changes in interest rates and other risks associated with a commercial real estate business as detailed in our filings from time to time with the Securities and Exchange Commission. Now we’ll turn the call over to Rand. 
Randall Griffin: Thank you Mary Ellen and good morning everyone. I’m pleased to report that 2008 was another successful year for COPT. We generated FFO of $2.64 per share an 18% increase over 2007 FFO of $2.24 per share. This 18% growth includes the gains recognized from repurchasing $37.5 million par value of our exchangeable notes during fourth quarter. Excluding the gain our FFO for the year was $2.46 per diluted share which was 10% over 2007 at the high end of our guidance range and above consensus. We believe that our FFO growth is among the highest in the office REIT sector and compares very favorably to FFO growth for the REIT sector overall. With regard to the total share holder return, we ended the year at a positive 2%. This compared favorably to an average negative 43% for the office sector overall. We were the only office REIT with positive share holder return and we rank 9th, for all equity REITs for total share holder return for 2008. We were also number one among all equity REITs for 10 years for the total share holder return of 648%. This performance was a confirmation that our operational versus transactional strategy was an effective and appropriate game plan for our company. We demonstrated that we did not need to buy and so our assets or generate fees and promotes from joint ventures to generate predictable high quality FFO growth. In fact, many companies with that transactional model struggled through out 2008 as the economy deteriorated and credit availability decreased. We believe there are several keys to our performance. First, we have a fairly safe NOI stream with 56% of our NOI derived from buildings primarily leased to government, defense IT and data tenants. We believe these sectors represent strong consistent growth and are less susceptible to the impact of recessionary pressures than typical office products. This business to government sector is the only area of the economy that seems to be growing right now. Importantly 65% of our assets are located in the Greater Washington region, which is more a recession resistant and one of the few areas in the country that still have job growth. Second, we have carefully planned our capital strategy. Our balance sheet is in good shape with very little debt maturing. We have sufficient capacity on our $600 million revolver, should be needed to fund our maturing debt over the next two years and we are currently working on securing permanent debt in the $300 million range that will provide additional capacity under our revolver. With regard to the permanent debt financing we are fortunate that we can create smaller debt packages to meet the smaller loan size that lenders required today. There are fewer lenders interested in less financing available for projects requiring over $100 million of debt. Also our $225 million construction revolver has sufficient capacity to fund the cost of our development, which Steve will cover in more detail. Third, we have developmental that is still providing growth. We are now seeing the beginning stages of BRAC and we recently signed our first two leases related to BRAC. The election is over and the uncertainty related to defense spending is fading. We are not seeing cuts in defense spending. In fact the government is moving ahead with the cyber initiatives that should drive an increase in defense spending. The cyber initiative will likely be located in one of three markets and we have significant presence in each location. Roger will discuss this in detail. We have a very tenant focused development pipeline with 100% of our planned 2009 construction starts being government or defense IT buildings. These buildings have typically been 100% leased when they come on line. With regard to the dividend, the ultimate decision each quarter is of course the preview of the Board. However, both management and the Board strongly believe that our investors expect the dividend to be paid in cash. Given our healthy financial position and projected continued growth, we expect to continue to pay the dividend in cash just as we have every year for the past 11 years, since listing on the New York Stock Exchange. The Board is not considering a change to the dividend policy and we are not in the same position as some the REITs that need to retain capital due to large loan maturities that cannot be refinanced or large revolving lines that may be reduced. Turning to our guidance, we have based our guidance and forward planning on the belief that this severe recession will last until mid-year 2010 with job losses accelerating this year and capital being constrained for a large part of 2009. Based on this believe, we have tweaked our FFO guidance, but still project another year of continued FFO growth for 2009 with FFO per share growth in the 4% to 8% range. This projection reflects our realistic view of the year using conservative planning with regard to lease renewals and the impact of development coming online. With that, I’ll turn the call over to Steve to discuss our results and guidance in detail.
Stephen Riffee: Thank, Rand and good morning everyone. Turning to our results, diluted FFO available to common shareholders for 2008 totaled $150.4 million or $2.64 per share. These results include a $10.4 million of gain form the extinguishment of debt, as a result of repurchasing $37.5 million par value of our exchangeable notes. Excluding these gains, FFO available to common share holders for 2008 totaled $140 million or $2.46 per share which was the top of our guidance and represent a 10% increase over the $2.24 per diluted share or $125.3 million of FFO available to common shareholders for 2007. For the fourth quarter, diluted FFO available to common shareholders totaled $47.6 million or $0.80 per share excluding the gains on the extinguishment of debt, FFO available to common shareholders for the quarter was $37.3 million or $0.62 per share. The fourth quarter results, include the impact of the issuance of 3.7 million shares of common stock in late September and the G&A expenses for the fourth quarter include approximately $700,000 of abandoned pursuit cost. We reported net income available to shareholders for 2008 of $42.6 million and diluted earnings per share of $0.87 compared to $18.7 million and $0.39 per share for 2007. For the fourth quarter of 2008, net income available to common shareholders was $17.4 million and diluted earnings per share were $0.34 compared to $5.9 million and $0.12 per share for the fourth quarter of 2007. Net income for the full year and for the fourth quarter of 2008 includes $10.4 million of gains on the repurchase of exchangeable notes. Next turning to AFFO, after adjusting for capital expenditures and the straight lining of rents, our adjusted funds from operations of $111.8 million in 2008, represents an increase of 23% from the $90.8 million in 2007 and excluding the gain on the repurchasing of our exchangeable notes the 2008 AFFO totaled $101.4 million representing an increase of 12% over 2007. Our diluted FFO payout ratio was 55% for 2008, and 47% for the fourth quarter. The diluted AFFO payout ratio for 2008 was 74% and 61% for the fourth quarter. Next looking at our same office cash NOI for 2008, for the 162 properties or 80% of the consolidated portfolio square footage, same office cash NOI increased by 4% over 2007, excluding the effect of a $2.3 million reduction in lease term fees during the year. Including the effect of the lower lease term fees, same office property cash NOI increased by 3% over 2007. Turning to the balance sheet, at December 31, the company had a total market cap of $3.9 billion with $1.9 billion of debt outstanding and that equates to a debt-to-market cap ratio of 48%. Our weighted average cost of debt for 2008 was 5.2% and that’s down from 5.8% for 2007. 74% of our total debt was at fixed interest rates as of December 31. Our coverage ratios remain strong, for the full year EBITDA to interest expense coverage ratio of 3.2 times and a fourth quarter interest coverage ratio of 3.7 times. The full-year fixed charge coverage ratio was 2.6 times and the fourth quarter fixed charge coverage ratio was 3.1 times. We’ve managed our near term debt maturities to low levels with only $93 million of debt maturing in all of 2009 and $65 million in 2010. We also began to address the 2011 maturities by repurchasing $37.5 million of our exchangeable notes at a discount and realizing a gain of $10.4 million, net of the issuance costs by also generating a yield to foot of nearly 17%. Other actions that have positioned us well for 2009 include completing the renewal and the expansion of our line of credit in late 2007 and closing on the $225 million construction facility in early 2008 and that’s going to fund our development pipeline. As part of our 2009 capital plan, we are currently in the market to raise approximately $290 to $300 million in debt to several sources. First, we plan to raise $110 million in permanent debt and currently we’ve five vendors generating quotes for this financing at this time. Second, we are in the market for $135 to $140 million of medium term debt that we expect to close within the next 60 days, and third we are pursuing $45 to $50 million in construction financing for our joint venture properties. The combinations of these financing will provide the source of repayment for the $93 million of debt maturing this year and provide an additional $200 million for capacity on our $600 million revolver. We will provide an update on the next call regarding these activities. With regard to development funding, our $225 million construction facility our revolver have sufficient capacity to fund the remaining cost of the buildings currently under construction. We anticipate that we will move two of our lease buildings after constructions revolver and as they are placed in service, they will provide sufficient capacity along with the rest of the revolver to fund the cost for all the building that we plan to start in 2009. We believe with the combination of all these transactions and our added debt maturity schedule we are well capitalized and positioned to execute our 2009 business plan without having to issue any more equity or common equity in the year. Turning next to our 2009 guidance, as Rand mentioned we continue to forecast and consider the uncertainties in the economy. As a result, we are widening and slightly lowering our range of guidance for 2009 to a new range of $2.48 to $2.58 per diluted share. Previously we provided 2009 diluted FFO guidance at a range $2.52 to $2.60 per diluted share after adjusting for the impact of the accounting change for the exchangeable notes. This 2009 guidance should be measured against the comparable 2008 result of $2.39 per diluted share, which has been adjusted by $0.07 per share for the change in accounting for the exchangeable notes. It also excludes the gains from repurchases of exchangeable notes in 2008. This 2009 guidance range represents an increase of 4% to 8% for FFO per diluted share in 2009 over 2008. Our updated assumptions for our 2009 guidance are as follows. First; for our same office portfolio plus the developments placed into service during 2009, we expect our occupancy to end 2009 between 91.5% at the low end of our range, the 93% at the top end of our range of guidance. Given market uncertainties, we are conservatively projecting our retention rate for 2009 to average 65% excluding the repositioning of the Blue Bell, Pennsylvania assets in mid 2009 and one warehouse space terminating at the very end of 2009. Second, we estimate that the development projects opening during 2009 to contribute $3 million of NOI growth for 2009. Over 85% of this contribution is currently under lease. With the exception of one building at our Columbia Gateway Office Park, the 2009 deliveries are expected to come on line in the second half of the year. Third, same office cash NOI for the year is projected to be flat with the 2008 levels. Fourth, lease termination fees are projected to be approximately $4 million for the year with most to be realized early in 2009. Fifth, the range includes at the top end for a modest level of acquisitions that would be weighted towards the second half of the year assuming some attractive opportunities become available.  Sixth, gains from other than operating assets are assumed to contribute between $1 million at the low end of the range and up to $3 million at the top end of the range in 2009. Seventh, net service income which is primarily third party development fees is projected to be between $4 million and $5 million for the year. Eighth, G&A has projected average approximately $6 million per quarter at the middle range of our guidance. Ninth, we estimate that approximately 20% to 25% of our debt that’s outstanding will be floating on average through out the year and then finally our guidance assumes no new equity issuance during 2009. This is our updated look at 2009 and we expect to further refine the details as we move throughout the year and with that I’ll turn the call over to Roger.
Roger Waesche, Jr.: Thanks Steve. At year end our wholly owned portfolio consisted of 238 properties totaling 18.5 million square feet that were 93.2% occupied and 93.7% leased. Our occupancy was flat quarter-over-quarter and increased 0.6% for the year. In 2008, we renewed 78% of expiring leases at an average capital cost of $7 per square foot. Rental renewals increased 15.6% on a straight-line basis and 6.1% on a cash basis. Total rent for the renewed and re-tenanted space increased 12.4% on a straight line basis and increased 3.5% on a cash basis. For all renewed and re-tenanted space the average capital cost was $9 per square foot. For all of 2008 we leased a little over 3.2 million square feet of which 1.95 million was renewals, 345,000 square feet was re-tenanting, 300,000 square feet was first time lease up of previously acquired space and 642,000 square feet was development space. For the quarter, we renewed 79% of expiring leases at an average capital cost of $10 per square foot. Rents on renewals increased 5.3% on a straight line basis and decreased 3% on a cash basis. Total rent for renewed and re-tenanted space increased 4.7% on a straight line basis and decreased 3.5% on a cash basis. For all renewed and re-tenanted space the average capital cost was $11 per square foot. The credit quality of our top 50 tenants who represent on those 70% of our revenues remained strong. We have on average 5.5 leases with these tenants with an average space size of 42,000 square feet. 56% of our 2008 NOI came from buildings primarily leased tenants in the government defense IT and data sectors. During 2008 we had two leased restructurings out of our 961 leases where we reduced the space size due to the extreme financial hard ship. We do expect several more credit issues over the next 24 months, coming outside of our top 50 tenants. Looking at our lease expiration schedule across our portfolio for 2009, we have 13.6% of our revenues expiring representing 2.7 million square feet. We have 18 leases maturing that are greater than 30,000 square feet each that total 1.8 million square feet or 67% of our renewals. We have the Unisys non-renewal space which I will address in a moment and we have a warehouse space in Columbia that matures December 31 that we expect to take out of service and convert to another use. Excluding these two properties we expect our renewal rate to be about 65%. We believe in 2009 and continuing into 2010 we will experience a higher incidence of non-renewal early renewals with space reduction and somewhat higher capital expenditures on leasing. As we said on our last call, other than Northern Virginia our markets do not face a severe the over building going into this down cycle. Rather the challenge to our markets will come from a slightly contracting employment scenario in some industry sectors represented by our tenants. We think our concentration in the Greater Washington region are sizable government and defense IT base along with only 7% of exposure to the financial services sector will limit our exposure. We also have the advantage of having tenant improvement dollars available and the certainty that leasing commissions will be paid. This is rapidly becoming an issue in our markets. The industry we are most exposed to Federal Information Technology is doing well. The outlook for contractors well positioned with intelligence agencies is positive. There is continuing high demand for Intelligence, Surveillance and Reconnaissance products and services. One of the biggest positive factors for the industry is the upcoming growth in the Federal Cyber Security spending. Between $15 billion and $30 billion is projected to be spent on Cyber Security over the next five years that will create many jobs. Much of the contract work will be handled by prime contractors with existing intelligence related contracts. We believe that Defense Information Systems Agency known as DISA, which is moving to Fort Meade and its contractors will be a major beneficiary. We are also well positioned in the bottom of Washington Corridor, San Antonio and Colorado Springs to benefit from the cyber initiative. Since our last call, we have started to see the impact of BRAC in two of our submarkets. At MVP we signed our first BRAC lease related to the relocation of DISA from Northern Virginia to Fort Meade. Also in Aberdeen, Maryland we signed our first BRAC lease related to the relocation of C4ISR from Fort Monmouth, New Jersey to Aberdeen Proving Ground. We expect to see momentum related to each of these relocations in 2009, with greater activity in 2010 and 2011. Rand will provide more detail on these leases in the development pipeline part. As we mentioned on our last call, Unisys Corporation renewed one of its leases for 114000 square feet for 10 years at our Blue Bell campus. During the quarter, we reworked that renewal to increase it to 156,000 square feet and move it from the 751 Jolly Road building to the 760 Jolly Road building. Today, between Merck and Unisys 375000 square feet has been renewed leaving 585,000 square feet that we will get back on June 30. Two buildings totaling 530,000 square feet will be taken out of service and redeveloped. Given the financial dislocation and challenging financing environment for our nearby competition we believe we may be able to do a renovation builder suite in this location to reduce our overall risk. The remaining 55,000 square feet is located in the Unisys renewal building and Unisys may still lease some of this space although we are free to market it to other parties. The NOI for the square feet not renewed or released totals approximately $6.4 million on an annualized basis and we are projecting no re-tenanting until 2010 which is assumed in our 2009 guidance. We will keep you updated as we continue to make progress on these assets. Turning to land acquisitions for the quarter, we closed on a 15 acre partial in San Antonio, which when combined with the 71 acres we’ve already earned supports about 1.3 million square feet over and above two buildings totaling 250,000 square feet that we started construction on in the first quarter of this year to expand our campus. During the quarter there were no acquisitions of operating properties while the market has been in increasing motivation on the part of some sellers to meet market pricing, there remains a significant spread between seller expectations and current underwriting on most offerings. We are however beginning to see more non-marketed situations where we may have the opportunity to make investments that can achieve a favorable risk adjusted yield on properties that are in keeping with our core portfolio. We continue to both conserve and increase available cash that we can take advantage of what we anticipate will be more favorable investment environment as we move through 2009. The lack of available financing for private buyers as well as on going pricing efficiencies had made completing positions difficult. We are continuing to pursue opportunities to selectively dispose of non-core properties in order to generate additional capital that we can redeploy in the core assets. Turning to our markets, with regard to the BWI submarket as of December 31 within the total market of 6.9 million square feet vacancies stood at 15.8% up from 11.5% one year ago and up from 15% in the third quarter of 2008. There was 538,000 square feet under construction which is 60% pre-leased. Our BWI portfolio totaling 4.6 million square feet and representing 67% of the BWI submarket was 92.2% leased at December 31. Turning next to the Columbia submarket in Howard County, at December 31 vacancy was 13.9% up from 9.8% one year ago. There is only one building under construction, our COPT building and it is a 100% pre-leased. Our properties in the Columbia submarket totaled 3.1 million square feet and are currently 95.7% leased. Our [Inaudible] portfolio is 85% leased down from 87.8% at September 30 and 83% occupied. Our vacancy increased due to loosing one financial services industry tenant. There is only a 110,000 square feet under construction in our submarkets which totaled 14 million square feet representing less than 1% of the existing stock. 
 : Looking just at our Dallas south submarket in Northern Virginia, the direct vacancy rate ended the fourth quarter at 19.7% within the Dallas south submarket there was approximately 160,000 square feet added to the market as of December 31. Our operating portfolio of nine buildings totaling approximately $1.5 billion square feet is 99% leased. Rental rates continue to drop and concessions continued to increase due to market conditions. Our 2009, Northern Virginia renewals totaled 212,000 square feet or 8% of our Northern Virginia portfolio of which a 111,000 square feet expires on December 31. Within the Colorado Spring submarket all of these vacancies were up in the fourth quarter at 12.6% compared to 8.9% one year ago. Our properties in the Colorado Spring submarket totaled 1.2 million square feet and are currently 94.3% leased. Now I’ll turn the call back to Rand.
Randall Griffin: Thanks Roger. Looking at our construction pipeline at year end we had 10 buildings under construction for a total of 1.2 million square feet at a projected cost of $256 million that were 43% pre-leased. Two of these buildings have full building users. We project our current construction pipeline will generate a 10% yield on stabilized NOI. However, with construction costs decreasing 5% to 7%, we expect yields to trend up on our buildings that will start in 2009. With regard to leasing, we have good leasing activity at our two buildings located at University Research Court at the University of Maryland. The first building is 53% leased with good activity and the second building is 100% leased. Turning next to Colorado Springs, leasing has been a little slower than we projected for our Hybrid I and Epic buildings at Interquest Business Park. We believe leasing will take longer for the first multi-storey building in this new business part. Within the BW Corridor, our Columbia Gateway building is 100% leased and we recently signed the first BRAC related lease of 300 NBP with The MITRE Corporation for 73,000 square feet. Leasing has been slower than we projected at our research park drive location at UNBC and our first office building in the New [Orlando] preserve business park, which we expect will be positively impacted by future BRAC demand. In addition, at year-end we had under development seven buildings with close to 767,000 square feet at a projected total cost of $165 million. All but one of these buildings is expected to start during 2009, and all the buildings are for our government or defense IT tenants. We are not starting any market demand buildings during 2009. Subsequent to quarter-end, we signed our first lease at North Gate building A for 63,000 square feet for The MITRE Corporation. This is the first lease associated with the BRAC move to Aberdeen Proving Ground. We want to thank all of our employees for their continued hard work and pursuit of excellence. We saw time and time again throughout the year that our dedication to outstanding service was a differentiating factor in our leasing and development success. We see this differentiation accelerating in the recessionary environment further separating us from our peers. In summary we are thankful for a strong 2008 performance and are working hard to ensure that this growth continues in 2009. And with that we’d be happy to address any questions that you may have.
Operator: (Operator Instructions) Your first question comes from Dave Rodgers - RBC Capital Markets. 
Dave Rodgers - RBC Capital Markets: Roger first question for you, could you give us a little bit better color may be on break down of leasing between your government business and market I think for the second quarter we obviously have seen just weakness overall in the leasing spread understandable on the market side, are you seeing any of that with the government or the contractor space or is it entirely housed within the market demand side?
Roger Waesche Jr.: There is a little bit in the government and not the government but in the IT, defense IT part of it and but most of it is coming from the general commercial segment of their portfolio.
Dave Rodgers - RBC Capital Markets: Can you comment I guess a little bit more on the market pressures that you saw Northern Virginia and Baltimore were the two areas were either occupancy dipped or lease spreads were particularly weak? 
Roger Waesche Jr.: For the quarter in Northern Virginia, we did have a tenant and this maturing out in 2010 and we elected to go ahead and extend that maturity for 5 years and so we took the market at that time not knowing where Northern Virginia is going to be for the next 24 months and in the case of Baltimore County, the rental spreads were fine and just that we did lose one financial services tenant HSBC, which had a credit card operation, which closed that and that was 50,000 square feet. Besides that, that port folio was very stable and we do have pretty good demand there and as I mentioned on the call, there is very little construction in our submarkets and suburban Baltimore.
Dave Rodgers - RBC Capital Markets : Finally Rand, two questions for you on development, I think the first would you are talking about cost coming down in construction I think we noticed that your development pipeline of the backlog, I should say was up a bit in cost may be modestly 5%. But, could you address that relative to your recent comments as well as, it appeared that NBP stabilizations may be now expected to a little longer into the future and San Antonio accelerating. Can you give us a little bit of color around that and then you are still confident in moving forward with those starts here in 2009?
Randall Griffin: Well, I think to address the construction cost decrease for a moment. We are seeing that trend; I think the TI component which isn’t really reflected in those numbers is continuing to also drop. So we think that’s positive I don’t know that we have seen necessarily the drop in materials, we are just in the process of bidding out the North Gate buildings that will start here shortly, and so we will get some better color on that on the next call. I think the increase primarily has come with our changing around of the percentage of office mix that we are going to do in the power view, which originally if you recall that was going to be a totally an office project that’s the warehouse that we bought and we were going to convert 472,000 square feet of office roughly and we have now changed that to an industrial and sort of a flex office component, and so those costs have gone up slightly there, but the trend clearly on the development will be down and I think that will be positive. And then I think on the San Antonio, you are correct, we have started the two buildings there inside and we see San Antonio accelerating with the demand that is one of the locations that we are hoping and it seems to be a positive recipient for the cyber initiative as that starts to get announced, those locations are supposed to be announced this quarter. 
Operator: Your next question comes from Rich Anderson - BMO Capital Markets.
Richard Anderson - BMO Capital Markets: I guess I just missed this, the guidance change was primarily your sort of non-government stuff is that right? That’s where the focus of the shortfall relative to last quarter.
Roger Waesche Jr.: That’s correct. What we do every quarter as we go space-by-space and try to analyze, which tenants we think will renew, which won’t, which tenants we think will renew but will down-size and so when we compile that analysis in our entire portfolio. Our conclusion was that our lease-up of vacant space and some of the renewal projections that we initially had were taken down a little bit. 
Richard Anderson - BMO Capital Markets: Okay. Now was there any change relative to the guidance you issued in last quarter on the interest expense line?
Randall Griffin : Yes, we have adjusted that too. So it’s you have the NOI changes driven primarily by what Roger talked about you may notice, the expectation because of may be the pace of leasing on one part of the development place and service is a little slower. On the other hand, we also lowered interest expense and so we are giving a new range of factors, updates and all of that. 
Richard Anderson - BMO Capital Markets: Okay. So that fully offsets the other, I guess right.
Randall Griffin : Right.
Richard Anderson - BMO Capital Markets: A lot of companies today are taking impairments tied to future development in the form of land holdings and I was wondering, you mentioned 70 million square feet of land are capable of developing 70 million square feet. Is there any chance that we might see from OFC some pull back in that number and to retrench in the form of impairment in the future?
Randall Griffin : No. I don’t think so Rich. We’ve been in this business for long time and I tend to believe that you buy land when it’s down, so our land is in at a very, very low probably 50% of the current FAR cost. And secondly, its very active in almost all of those areas, so I think that you just won’t see the impairment, I mean we didn’t get caught into the trap of buying land at peaks and then having development stop, our land is probably 95% to 99% adjacent to our existing developments and in all of those have continued activity on them. So I think we are in good shape there. 
Richard Anderson - BMO Capital Markets: Okay. You mentioned Unisys Roger and an opportunity to redevelop two of the buildings and you are looking for a built-a-suite opportunity? Do you have any sort of feelers out there now? Do you have a sense that you actually might be able to pull that off in this market?
Roger Waesche Jr.: We are in the market with our broker in that region and we do have renderings and we have some design development plans that we have that we are showing, but and we do have some tenant interest. But I think our thought was instead of spending a lot of money on those two buildings, they are flexible with respect to what kind of product they could be, one of them could actually be flex product as opposed to office because it’s single storey. And so we wanted to let the market tell us what the product should be and again we thought with having money available to execute development quickly and having the shell already existing, we thought we could speed the market for a potential renovation built-a-suite.
Richard Anderson – BMO Capital Markets: How about the redevelopment and then sell the assets, is that on the potential table?
Roger Waesche Jr.: The Blue Bell/Philadelphia market is not a long-term core market for the company.
Richard Anderson – BMO Capital Markets: On the topic of asset sales, if you were to be able to do it all at once, obviously won’t but in dollar figures, how much would you say you have left to sell to sort of get out of all the non-core markets and assets?
Roger Waesche Jr.: We probably have $400 million of assets between New Jersey, Philadelphia, and some sprinkling of assets even in the Baltimore/Washington corridor, Suburban Baltimore and over in Montgomery County.
Richard Anderson – BMO Capital Markets: Okay. And then, last question, you mentioned the abandoned pursuit cost in the four quarter number, what was that again and do you have any expectation of more abandoned pursuits for 2009?
Randall Griffin : That just related to a couple of projects, we had invested some money on some redevelopment in our portfolio and decided that for the time being, we weren’t going to go forward. So, we wrote those costs down.
Richard Anderson – BMO Capital Markets: What was it again?
Randall Griffin : I’m sorry.
Richard Anderson – BMO Capital Markets: What was the number again?
Randall Griffin : $700,000. 
Richard Anderson – BMO Capital Markets: Okay. And you don’t expect to any kind of recurrence to that at this point?
Roger Waesche Jr.: No, we have cleaned things up very much and unlike a lot of the other REITs, we just don’t have those impairment issues. It was a very very, if you look at it honestly very clean quarter and very clean year?
Operator: Your next question comes from John Guinee - Stifel.
John Guinee - Stifel Nicolaus & Co. : Hi, Steve, it looks like your taxable incomes bounced up against your dividend in 2008. How much more of the exchangeable notes can you repurchase assuming the current market value before you bounce up against those thresholds in 2009?
Stephen Riffee: Well, first of all, we are not in the market to do it right now. But there was room we were watching that and managing that and what we did execute in the fourth quarter. So, we will keep an eye on it. We obviously John, just in terms of whether we would do it or not, we will be watching just all the capital and what the other opportunities are et cetera. Interesting enough, I was reading that the Senate proposal, I got to see what the final bill was that, there is a proposal and what the Senate had sent to on the stimulus bill that would allow companies to differ those tax gains one or two years. So for those people that do that they are probably more room than you would think and since we are not in the market right now and I just saw that may be 24, 36 hours ago cannot fully evaluate at that.
John Guinee - Stifel Nicolaus & Co.: Okay Rand, what’s going on with the Fort Ritchie and Fort Detrick right now, to give land at both locations, but I can’t recall?
Randall Griffin: We do. Fort Ritchie, this is the year where we will put in a new substation. We are continuing on the utility work in preparation for some of the anticipated demand there. We do have a fair amount of leasing kind of activity, marketing activity going on for, we are trying to take the existing buildings primarily and lease those up initially. So, that sort of clean up work and positioning there, we did finish in the fall a community center that was a promise that we made along with Penmar and that’s gotten good reception. We are also in the final stages of designing the residential and should be positioned in 2010 for lot sales to start to occur and have some interest from developers currently. At Fort Detrick, it’s interesting that the $ 2 million square foot complex that they are doing is in the process of then forcing some of the contractors off-site, there is not enough ground on-sight some of it’s environmentally contaminated and so as that move occurs, we are seeing some interest in Fort Ritchie, as back up facilities for that and then we do have a one million square foot property that’s going through final entitlement and design that would be just north of the main entrance to Fort Detrick on highway 15. And we think that is going to be a recipient of demand in the long range. So I think we are well positioned for that component of the BRAC.
John Guinee - Stifel Nicolaus & Co.: Okay. And then last question I guess for Rand, if you look at your preferred equity as debt, which most people do right now, you really are a little more highly leveraged than advertised. At the same time, your stock prices held up very well and you are trading it by most people’s numbers about a 7.5 inside cap rate, but that combination to me shouldn’t indicate that you would rule out common equity at this kind of price range, can you walk through your thought process there?
Randall Griffin: Well, I think John, as you know, we did have $139 million equity raise in September last year, we didn’t need to do it that was sort of projected for late ‘09. So in a sense, we’ve pre-issued equity and as Steve said in his section, we do not need equity this year, we feel very comfortable with our debt levels, if you look at the numbers that Steve is projecting as we go and get about $300 million of additional debt, which we think will be in first quarter and a little bit in the second quarter. We have got a lot of capacity then and we think that we don’t need to raise equity. It would take an unusual event where the acquisition opportunities accelerate or development accelerates beyond our projections for us to need to do that. So, we think we are in good shape. We are very comfortable particularly with when you look at the fixed charge coverages, very healthy and don’t have the maturity issues there. So I think equity is not an issue for us, this year John. 
Operator: Your next question comes from Chris Lucas - Robert W. Baird.
Christopher Lucas - Robert W. Baird & Co.: I guess a follow-up on that question, just as it relates to what you are seeing in the market in terms of the types of secured debt terms that are out there, what sort of coupon and either LTV’s or coverage ratios, are you seeing for the stuff that you are potentially financing?
Stephen Riffee: Well Chris, to be honest with anticipating that question, we are in the market we are pretty confident that were going to get done of all that what I just talked about that we are in discussions. But we have decided it’s probably inappropriate for us to talk about the terms right now until we close the deal. We will give more color once we close those deals, and I think you’ll get more of an update on our next earnings call on that.
Christopher Lucas - Robert W. Baird & Co.: Steve at least in terms in of terms, do you have a sense as to just how are you thinking about pricing between sort of it being a 5 to 10 year programs?
Stephen Riffee: Yes, I mean, we were working at, when I said that the medium term that’s more with the bank groups, ever since for the pricing on that, and we are looking at the longer terms, and we are looking seven to ten years and just making sure that we understand what’s out there, we have talked to a lot of people and are in discussions with five right now on pricing and on terms and it just would be inappropriate for me to be discussing that while we are in the middle of those discussions, I think.
Christopher Lucas - Robert W. Baird & Co.: Okay, and then Rand, just broadly, how are you seeing the development yields on the projects that you’ve got sort of in place today underway versus the stuff that is sort of on the drawing board. How do you see those trending out?
Randall Griffin: Yes, as I said in the script that we are rate around the 10 unleveraged yields upon stabilization, finishing the buildings up and we do think that, that will move up with the reduction in the cost. I don’t think, we need to necessarily have pricing power increase on our rental rates to still get that moving up towards the 11, which is our goal this year for the 11 unleveraged yields.
Christopher Lucas - Robert W. Baird & Co.: Okay. And then a quick point of clarification on the abandoned pursuit cost was that the projects in Fredrick and White Marsh?
Randall Griffin: No, it had to do some other redevelopment of our existing port folio with the airport and one other place.
Christopher Lucas - Robert W. Baird & Co.: Okay and so, on the project that dropped off the development schedule in Fredrick and White Marsh, what sort of status are those and what moves them on or off the schedule, I guess.
Roger Waesche Jr.: Well, on the Thomas Johnson Drive and Fredrick, we are still working through permitting and water issues and now because of the delays on that the storm water, some redesign issues. So, when we looked at it, it just fell off of the year start, I mean we are still actively pursuing project, but just don’t think that it’s going to get to a point of within the year, being able to start. I think in the situation in White Marsh, we have a building ready to go there, have some interest from tenants. But I think that we just would like to hold off that for now until we ascertain the strength of the demand. So, as we said 100% of what we are starting this year is projected to be purely government and defense contractors and I think that’s a pretty unique situation, I don’t think that anyone else in the country has that kind of built-in demand in their portfolio.
Christopher Lucas - Robert W. Baird & Co.: And then, my last question, Steve, just on the quarter, in terms of like a bad debt expense number, how did that trend, sequentially?
Stephen Riffee: Less than $200,000 and our bad debt expense for the whole year were like $1.2 million for 2008. I mean, with the economy worsening on the non-government defense IT area, it will probably be higher next year and that’s what we are assuming in our own analysis, but it was very low.
Operator: (Operator Instruction). Your next question comes from Michael Knott - Green Street Advisors. 
Michael Knott - Green Street Advisors: My question is, can you comment on the types of acquisitions you may consider sort of in the context of comments on prior calls that longer-term you are trying to increase the percentage of government and defense IT tendency. So any deals you might consider, would it be Nottingham-like potentially or would it be more focused on sort of the core defense segments?
Randall Griffin: I guess, Michael two years ago, when we looked out at the world, we thought we were going to have trouble ever acquiring government or defense IT type projects. So we thought we are going to have to develop our way into getting to the percentages of our core, non-core but given what’s going on in the financing environment that the levered buyers has gone away. We are now seeing ourselves with the possibility of being able to invest on an acquisition basis around the government and government IT sector, tenant buildings. So that all of a sudden is now a real possibility for the company. So, the answer to your question is, we are not anticipating going out and buying a big portfolio of non-core assets to grow the company.
Michael Knott - Green Street Advisors: Yes, I would presume that may be yields on that type of product have increased pretty significantly. But what would that suggest about the value today of NBP or some of your other similar types of assets Rand before you said that you received bids for those types assets of pretty good pricing. How do you feel about those types of assets today and that type of credit?
Roger Waesche Jr.: Well I think NBP is sort of an island to itself, it does have some significant barriers to entry. But in general, we are talking about projects where the customers in those buildings have invested a lot of money and so they are not commodity product and they are specialized and we do view them as having some barriers to entry as opposed being standard suburban office property.
Randall Griffin: And I think you, again when you start to imply that because you could buy something at a decent cap rate that’s what your company is worth. I think what we have been waiting for and positioning yourselves for Michael is to have the cash available is to take advantage of the stress situations. We have always as a company made a lot of money in recessions, this is a severe one and we haven’t yet seen the sellers get to the point of distress, but its coming. And we will take advantage of that and I think be able to get certainly above market yields and above what we think our properties would sell for, if we chose to do so. 
Michael Knott - Green Street Advisors: Any guess on what the cap rate today would be on say some of the new development projects or your earnings at 10 or may be going to 11 later this year for new projects. Where are those cap rates gone to, if you can build to 10 or 11? What could you sell those for today, do you think? Very hypothetical question but?
Roger Waesche Jr.: I don’t think we would go there because I just don’t think we have an interest in selling. So that’s very hypothetical, and we will let someone else in and another company who does do the selling and who depends on that, we will let them be the gauge of that. But, we don’t develop to sell, we are developing the hold and I think because we do that and our parks get larger and more critical mass there, they just get more and more valuable. So that’s the strategy.
Michael Knott - Green Street Advisors: And then last question. Any comment on status owner activity, either in your development pipeline or just more generally any comments on tenant interest in developing that type of product with you?
Randall Griffin: We are continuing to study that, we are thankful that we don’t have to finance the $1200 to $1500 of foot that those facilities require that’s not our model. Those that are doing that have to have of course struggled a little. I think the lenders are a little uncomfortable with those and the percentage of debt you can put on those is difficult. So we are continuing to do some data, it’s for specific tenants and continuing to increase our 1.5 million square feet. We’re looking in the market place for other opportunities, they are hard to finance, the pricing is becoming more attractive and we will just have to see how that unfolds, during the year.
Operator: Your next question comes from Ian Weissman - Bank of America. 
Ian Weissman - Bank of America: Ran, I think you said earlier in your comments, talking about defense budgets not being cut back. But there is certainly been a lot of recent press about the financial stimulus package training, funds away from other agencies including defense. And I think that there is a new budget coming out in April. Can you just may be reconcile your comments with concern about obviously the escalating deficit of the U.S. government, number one. And number two, do you think that these budget concerns could maybe not eliminate, but delay the deployment of BRAC?
Randall Griffin: Let me take the second question first. Absolutely not, on the deployment of BRAC, I mean the buildings are under construction, if you go out to each of the BRAC locations, the cranes are there. They are on schedule; the move schedules have been publicized. We know in the BRAC locations in Maryland that in Aberdeen, the first 1000 people move in December. The second group moves with the general in July 2010 and then the rest of the moves will occur through to September of 2011, pretty similar schedule in Fort Meade and then on top of those, you start to see the potential impact of the cyber initiative, which the Obama Administration has stated is a very critical point and recently Secretary of Defense, Gates was quoted and it’s been in progressional testimony of $15 billion to $30 billion new money going in for the cyber initiatives. So the cuts if there are any and to-date they haven’t been. The Defense Secretary said that he targets cuts it’s in the high dollar development programs, which are weapons programs. We don’t deal with that, the tenants that we have are supporting a different intelligence and are supporting communications and interdiction of information on and that budget has not been cut, that continues to increase as it has for the last 12 straight years and we don’t think that’s a risk at all. So yet again, we always remind people that we are in a different segment, we are not in the weapons segment, which does have some ups and downs in cycles.
Ian Weissman - Bank of America: Okay. And finally, may be just a question for Roger. If you look at your roles over the next two years, I think it’s may be 30% of your portfolio, have you broken out what percentage of that role is government versus just traditional office?
Roger Waesche Jr.: It’s actually if you except out Unisys, it’s pretty consistent with our overall 56% being government IT. So actually, with Unisys in it’s down to about 50% if you except out Unisys, it’s actually a little higher. So, we feel pretty good about that role.
Ian Weissman - Bank of America: I’m sorry if I missed this because I jumped on late, but if you look at your ‘09 roles, how much of that has been accounted for in terms of leasing at this point?
Roger Waesche Jr.: The first quarter is very light. We have under 200,000 square feet maturing and right now, we will probably be over 70% renewals in the first quarter. The difficulty sorts to becoming in the second and third quarters. The second quarter is the Unisys non-renewal of 585,000 square feet. And then, at the end of the year, we have this warehouse building for 240,000 square feet that matures. Other than that, we feel pretty confident that we will be in the 65% renewal range for the rest of that portfolio for 2009. 
Operator: This concludes the question and answer session for today’s call. I would now like to turn the call back over to Mr. Griffin, for closing remarks. 
Randall Griffin: Thank you, again for joining us today. And we hope that 2009 is a good one for everyone. As always, we appreciate your participation and support and Roger, Steve, Mary Ellen and I are available to answer any questions offline that you might have. So thank you and have a great day everyone.